Operator: Welcome to Shaw Communications Fiscal 2012 Fourth Quarter  Conference Call. Today's call will be hosted by Mr. Brad Shaw, CEO of Shaw Communications. [Operator Instructions] Before we begin, management would like to remind listeners that comments made during today's call will include forward-looking information, and there are risks that actual results could differ materially. Please refer to the company's publicly filed documents for more details on assumptions and risks. As a reminder, today's call is being recorded. Mr. Shaw, I will now turn the call over to you.
Bradley S. Shaw: Thank you, operator, and thanks to everyone for joining us today to discuss our fourth quarter and year end results for fiscal 2012. With me today are members of our senior management team, including Peter Bissonnette, President; Steve Wilson, Chief Financial Officer; Jay Mehr, Senior Vice President of Operations; Jean Brazeau, Senior Vice President of Regulatory; Michael D'Avella, Senior Vice President of Planning; Paul Robertson, President of Shaw Media; Jim Cummins, Group Vice President Shaw Satellite Operations. Earlier today, we released our Q4 and fiscal 2012 results. I'll make some brief remarks before we open up the call for questions. We are pleased with our performance this quarter as we exited 2012 with a more balanced and sustainable approach to the operating environment in western Canada. We remain focused on strengthening our core business and infrastructure advantage. Our initiatives are delivering greater value to our subscribers through excellent customer service. We have employed more rigor and discipline to our pricing, customer acquisition strategies and our marketing activities. This strategy was evident in our financial results during the second half of the year and this will continue to be our focus in fiscal 2013. In Q4, consolidated revenues improved 3%, EBITDA increased by 4% and free cash flow was in excess of $100 million. Our cable margin improved by 180 basis points to over 49%, compared to 3 months ago, free cash flow for the year was $482 million. We recognize that our company succeeds because of the foundation created by our powerful network and our caring and committed people. We continue to make significant investments in both. Delivering exceptional customer experiences will remain a key priority for all of our operations. We have made substantial investments to ensure our service capabilities and capacity will remain at a high level, specifically we have added staff, developed tools to enhance service and dramatically reduce call waiting times. We are leveraging our leading edge network, rolling out a number of new products and services this year to deliver innovation, choice, enhanced value to our customers and viewers. We continue to expand our Wi-Fi network footprint and our digital network upgrade project remains on track as we expect to complete the digitization of our analog tiers in 2013. We recently announced the first phase of our TV Everywhere strategy with a successful launch of our Shaw Go Movie Central and Shaw Go NFL Sunday ticket apps. We are introducing our new guide, which utilizes Motorola's DreamGallery software this fall. We believe our customers will embrace this flexible, modern, intuitive interface that improves overall customer experience of our video product. Our Media business continues to be strong even as the advertising market remains challenging. Q4 results, revenue and EBITDA were up compared to a year ago and overall, the team did a tremendous job of managing our cost structure in a difficult business environment as EBITDA in 2012 was higher by 2% compared to a year ago. To date, we have had a strong response to our fall lineup and our portfolio of specialty channels continues to be formed. We have a number of initiatives underway at Shaw Direct, including the introduction of additional 200 HD channels following the launch of Anik G1. Unfortunately, the introduction of these new services has been delayed due to an unrelated rocket failure and we now expect the new satellite to be in service by the spring. Our activities are focused on improving the long-term profitability of our assets and we will continue to implement cost savings, execute on operational efficiencies and prudently manage our capital investments while delivering exceptional customer experiences. We remain confident about the free cash flow profile of our consolidated assets and we believe our operating focus is the right strategy to create long-term value for all of our stakeholders. In fiscal 2013, we expect growth in a consolidated revenue and EBITDA, capital investment is expected to marginally decline from 2012 spend levels as we continue with a number of our strategic initiatives, including DNU, Wi-Fi and the launch of Anik G1. Taking into consideration this continued capital investment come along with higher cash taxes, we expect fiscal 2013 free cash flow to be comparable to last year's amount. I want to close with a comment about Shaw being named among Canada's top 100 employers earlier this month. We are very proud of the people and the work they do for us every single day. This recognition reflects our people's confidence in our company and the passion that all of them bring to work is the foundation for Shaw's success. I want to take this opportunity to thank them for their commitment. Thanks to everyone for joining us today. And we'd now like to open up the phones to answer any questions.
Operator: [Operator Instructions] And our first question comes from Bob Bek with CIBC.
Robert Bek: Just a question on the competitive environment. You had the opportunity to put through some price increases. We've seen the benefits flow through on the cable side. Can you talk at all about first, any customer response to those increases? And secondly, what, if any, competitive response you're seeing in those markets?
Bradley S. Shaw: Well, Bob, I'll just start, maybe Jay will add in. We've certainly maintained that discipline and focus and we have seen some rates move up from our competitor in western Canada and I know we've adjusted some rates, too. Jay, can you give us some highlights there?
Jay Mehr: Yes, I think, Bob, the -- in general terms, we're seeing encouraging signs in the marketplace, like you've seen us make some adjustments to grandfather packages and some adjustments to some of our Internet packages September 1 and TV packages and it's early days, but I think we would characterize the competitive environment as encouraging. In terms of the response, we're delighted with the exceptional customer experience approach that we're taking to the business and our call center metrics have never been better along with our other customer service metrics. So certainly, it's our view that the exceptional customer experience is the key to reducing churn and ultimately pricing power.
Robert Bek: Just to follow on those comments. I know you've had customer service issues in the past. Is it fair to say you got that all behind you and things are running smoothly?
Jay Mehr: Yes.
Robert Bek: Okay. And, just a last model question, I guess, if I could, before I pass on. Steve, cash taxes. You're talking about the higher cash taxes into free cash. Any on a ballpark or update on ballpark you can give us to work with for 2013?
Steve Wilson: Yes. So over a 5-year period of time that we're repaying the tax benefit, the partnership deferrals and when you factor that into next year, Bob, and there are some other things going in terms of some losses that we'll be able to utilize. The best way to look at it, take overall rate of 30% for modeling purposes.
Bradley S. Shaw: And, Bob, just as a follow-up to the first. We've maintained our disciplined approach in the market and that will continue in F'13 but you can certainly say that from a new acquisition and promotional activity, we're still very active in the west.
Operator: And our next question comes from Vince Valentini with TD Securities.
Vince Valentini: Maybe I'll start with the SME [ph] market. If you can give us an update on the progress you're getting there and when we look at the Internet and telephony numbers you put up here in the fourth quarter, maybe you can try to parse that a little bit for us of how much of that success is business customers versus residential.
Jay Mehr: It's Jay. I think it's fair to say that we continue to see solid growth in the business market. It's also fair to say that it's driven primarily through small business. We haven't released net subscriber breakdowns on business. It's certainly fair to say that our Internet and phone gains are meaningful in terms of the business gains and we think we still got absolutely solid growth opportunities in F '13 in small and then some opportunities in some of the other segments.
Vince Valentini: Jay, would they maybe be meaningful enough that the Internet subs you put up, I mean, could actually be negative in residential to correspond with the negative on basic video? Because Telus certainly claims that when they win a video customer, I think 90% or 95% of the time they get the broadband as well. So it's a little inconsistent with the different trajectory of your internet subs versus your video subs.
Jay Mehr: I think you're going to box us in to actually answering the question. Your general assumptions are not flawed, Vince.
Vince Valentini: Okay. A follow-up on -- totally to the topic. Your free cash flow came in about 7% above your guidance and you're expected to stay there in 2013. So can you give us any thoughts on what the [indiscernible] is maybe for the dividend growth this year? Does that mean there's room for a 5% to 7% dividend increase to keep the pair ratio basically the same?
Bradley S. Shaw: Yes, Vince. A couple of things. We certainly know how important it is to over investors, on our yield investors on dividend, dividend growth. Talking with the board, we'll be reviewing that in next quarterly meeting and making a decision then.
Operator: And our next question comes from Phillip Huang with UBS.
Phillip Huang: I was wondering if you could expand a little bit on your cost initiatives. As you know, cost reduction has been a huge focus from some of your peers and your operating income before advertisation beat expectations this quarter, partly helped by lower cost, but was wondering if maybe you can give us your thoughts on any broader cost initiatives for fiscal 2013.
Bradley S. Shaw: Sure. We're certainly continuing to focus on all of our opportunities in terms of efficiency. We talked on a number of calls ago about some work that we're doing on the supply chain part of our business in terms of procurement, in terms of renegotiating and negotiating deals with strategic vendors in terms of both reverse logistics and I think we've really completed that phase. And you can see the effect of that phase as it reads through into our results. As we move in the next phase, we've got a multiyear approach and we're going to continue to have a laser-like focus on cost in all parts of our business.
Steve Wilson: Yes. And I think on top of that, it's simplifying the front end packaging, bundling for the customer really drives lower calls into the call centers, as we call it, activity multipliers, then you spit out a whole bunch of service calls. So we're really trying it from end to end, to simplify the business and for the customer and get rid of those multipliers within the business is another example, of some of the opportunities.
Phillip Huang: Right. Got it. And then just to quickly touch on Wi-Fi. Can you maybe give us an update on your strategy there? Assuming that the Wi-Fi projects cost you an aggregate roughly $200 million and maybe give us an update on how much you've spent in 2012 and how much you expect to be post CapEx for your fiscal 2013?
Bradley S. Shaw: Just a couple of things on that. One, we're trying to build the Wi-Fi to where the people are. So we're really bouyant to where that activity, so it's pretty hard for us to determine what that price is and what that cost when you look at it. Going forward, I think for us, our focus right now is access and coverage and continues to be. We've had good success with some of the businesses we had on in putting the Wi-Fi up and we have a reasonable number of Wi-Fi spots and hotspots there. But for us, we really want to make sure we build the coverage because it creates great value for our customer base and it's something that right now is the focus going forward.
Operator: And our next question comes from Jeffrey Fan with Scotia Capital.
Jeffrey Fan: When Bell first announced that they were going to buy Astral, I guess, the investment community sort of automatically assumes that Shaw would take in course one day. Now with the CRTC decision last week, I'm just wondering if you can update us on some of your thoughts around that decision and how you see that whether the commission is basically sending a message that they don't want to see anymore vertical deals or whether it impacts horizontal deals and how you guys see that going forward.
Bradley S. Shaw: Sure. A couple of things. Just on course. We have a variety of activities going on. Shaw's pretty focused on what the things we need to do. Overall, we're really pleased with how the media division has performed and the benefits of that and we're -- we realize there's some value and some synergies there but strategically, if the family feels it's right and have the right time to do it, we'll look at it. I guess, what I'll say in light of the decision last week, when you look at it, everyone kind of has their own opinion, but I believe there was -- it seemed to be somewhat more of a Bell-focused decision when you look at it, not so much against VI in the industry and some of, I think, the size we're dealing with and I believe Bell has some options in what they need to look at. But it seemed to me, when you read into it, it seemed to be some of the things that Bell was dealing with was more specific than from an industry point of view.
Jeffrey Fan: Is there anything that would present Shaw Communications putting Shaw Media into course?
Bradley S. Shaw: Yes. Yes, that might be myself. Well, you look at it because I think it's fundamental to the business in what the things we're seeing and the value we've created and keeping cost down a little and some of the opportunities and new innovation of products coming is a real benefit and I have a -- the less you can secure yourself and see something there that you can really be comfortable with, it would be very difficult to look at that.
Jean Brazeau: Jeff, Jean. Just on the regulatory front, I'm not sure if that was part of your question. We would look at a transaction I'd like to add as an amalgamation. Both assets would be owned by the family and therefore, there'll be no change in control. So on the regulatory front, we wouldn't see any real issues there.
Operator: And our next question comes from Glen Campbell with Bank of America.
Glen Campbell: I had a question on your revenues on the cable segment, which you're pretty strong in the quarter. So there's, I guess, a dynamic that we can't see directly, which is discounting. You got people going onto discounts and you've got people coming off. Could you talk a little bit about how that worked during the quarter? I mean, did you have more -- was the strength in ARPU, if you will, a function of people rolling off or less people coming on. Could you give us a bit of color on that?
Jay Mehr: Yes, Glen, it's Jay. For sure. Our focus is absolutely on growing our subscription revenue base and we're really pleased with the signs that we're seeing on that side and that's not just about net subscriber gains. So if you think about the key drivers being reduced churn, upward package migration, certainly some rate increases and net subscriber gains, I think it gives you a better context of that going forward. But you've seen some increase in ARPU through absolutely upward package migrations on the Internet and that's a nice part of the story. Certainly, rate increases are a nice part of the story and with the focus that Brad talked about in terms of customer profitability, you really can't read that through our subscriber numbers. You can't replace $160 customer even with eight $20 customers. So I think you'll see that as we continue to see increases in our subscription revenue base.
Glen Campbell: Okay. And then a follow up on CapEx. You itemized some of the special projects you've got planned for 2013. Could you give us a sense of how many dollars are attached to those projects, either individually or altogether?
Steve Wilson: Let me just speak generally to the -- we talked about a marginal decline in terms of capital projects. In the satellite area, we've got the final payment on the Anik G1 launch, which is about $25 million to be paid earlier in the year. And then on the cable side, a big reduction is coming down with DNU. So we spent about $90 million so far at DNU and we're progressing very well and for next year, we would see that number dropping down substantially. So that really accounts for most of the decline in the cable CapEx.
Glen Campbell: That's great. And then, I guess, the other special item would be Wi-Fi. Can you just give us a ballpark on what that was last year or what it might be in '13?
Bradley S. Shaw: In Wi-Fi to date, we've spent $25 million and we're looking at about the same run rate for next year.
Operator: And our next question comes from Rob Goff with Byron Capital Markets.
Robert Goff: I got 2 follow-ups. The first one would be from a policy perspective, if course would be an amalgamation, I take it that would suggest there would be no net benefits required?
Jean Brazeau: We -- our position would be that there would be no change in control and the benefits applies to situations where there are changes -- control. So I guess, that would be certainly our position that no benefits would be payable on such a transaction.
Robert Goff: And if I may go back to the SME [ph] side of things. I know Vince was successful or somewhat successful in getting more color on things. Would it be fair to suggest that the revenue growth would be in and about the 20% level on year-over-year basis consistent with peers?
Bradley S. Shaw: I think it will be at around that kind of level or close to it or maybe a little bit less, but 20% of the EBITDA side as well.
Operator: And our next question comes from Drew McReynolds with RBC.
Drew McReynolds: Just a follow-up on the cash taxes for you, Steve. Can you tell us out of the total $350 million, what was actually paid in fiscal 2012?
Steve Wilson: We're looking -- the cash tax number you're looking at is cash taxes that were actually paid. So for modeling purposes, the way to do it is just to assume that it's paid amount. And that's why I say the 30% next year is what you should assume as the paid amount for free cash flow purposes as well.
Drew McReynolds: Okay, okay. And I guess, just a question for Paul, more of a clarification. I think in light of the Astral deal, there's been some confusion out there with respect to the concentration calculations. And I just want to confirm that from the CRTCs perspective, when they calculate Shaw Media's concentration, they consider already course in that equation?
Jean Brazeau: It's Jean here. Absolutely. We've always been regulated with the total market share, of course, plus Shaw Media. So that -- there would be absolutely no change, no structural change if you calculate or if there was a transaction before.
Drew McReynolds: Okay. And just wanted to, maybe from Paul, get an update on just the ad market, what you're seeing currently for the fiscal Q1 period and is there any hopes here that would get a little bit of a pickup as we look into calendar 2013?
Paul W. Robertson: Yes, Drew. I'm happy to respond to that one. You saw what looked like a stronger market in the fourth quarter with Olympics in the marketplace and we still ended up in growth mode. So we're pleased about how we went out the summer. What we're seeing in the first quarter is a market not dissimilar to a year ago, although competitively, we feel like we're better positioned and we're seeing kind of similar kind of low single-digit outlook on overall ad revenues. It's hard to say. It's quite stable, we're seeing all the major advertisers come back, but we're not seeing a big resurgence into kind of huge growth rates.
Drew McReynolds: And on that type of trend, clearly, my assumption would be, it's not really about specially advertising as a medium maturing in a meaningful way, it's more a cyclical phenomenon just waiting for national advertisers to gain confidence to spend more money. Is that a correct assumption?
Paul W. Robertson: Well, I think that, yes, we kind of been on the doldrums from an economy standpoint and the advertisers are still there, it's still conducting business, they're just a little more conservative than we'd like them to be and if we got  consistent turn in the economy, more positive, we definitely see a lift in the current market. And we'd all enjoy stronger growth rate for -- in that cycle. So I think it is -- it's kind of the second year of the same old, same old, but definitely, if the economy improves, we'd will feel it.
Steve Wilson: If I recall that last year, EBITDA EMEA grew by 25% in the year before. So it's very strong surge and then still very moderate growth this year.
Operator: And our next question comes from Matt Niknam with Goldman Sachs.
Matthew Niknam: A question on cable margins. I'm wondering with the competitive landscape still intense, you're talking about a greater focus on customer service going forward, is it fair to expect further margin compression in cable in fiscal '13 or are pricing tail winds and greater cost efficiency enough of an offset?
Bradley S. Shaw: Overall, for this year, we were just a little under 47% in the cable margins and I think for next year, you should expect to see around the same level. We will some revenue growth through price increases to being more disciplined on promotions and pricing activity generally, but we will have the usual increase in cost in the first quarter, employee cost and network cost. So margins should be around that level on an overall basis for the year.
Operator: Our next question comes from Greg MacDonald with Macquarie.
Gregory W. MacDonald: Question is on the Wi-Fi strategy. If I understand correctly, $25 million spent to date on the $200 million CapEx total estimate. Does that kind of suggest that you've only focused on one market or does it suggest that your strategy might be changing from one or more ubiquitous coverage to one or more kind of hotspot coverage?
Bradley S. Shaw: Hi Greg. I think we tend to focus on the major centers to start out and continue with that focus and I see that continuing as we go through this year. As I said earlier, it's kind of building-to-where-they-are-type thing and we're pleased with the success we did. We see the opportunities to grow that further, but we really want to make sure we've done a good job from what we're doing now, and really managing the access and coverage point of view and then allow the business to build up from the backside.
Gregory W. MacDonald: So it sounds -- I think it's Brad I'm speaking to, it sounds like you're stretching out the investment program relative to what was originally intended or is that -- am I just misunderstanding? Like is it a 5-year program now?
Jay Mehr: Gregory, I can -- It's Jay Mehr. Maybe I can jump in on some of economics. I'm not sure we've ever had the size of our Wi-Fi build properly scoped. I know we've got a number of numbers that have existed in the marketplace and I think the numbers that have existed in the marketplace are at the high-end of what we think the total build. There has not been a change in strategy. We remain committed to Wi-Fi, we're making great progress, both in terms of access points and also customer usage, even during a trial.
Bradley S. Shaw: Yes. And just remember with the AT&T, China Telcom, these Wi-Fi costs and equipment, everything have really come down in a significant way over time. So we're seeing the benefit of that. So 200 to Jay's point would be a high number for the build as we see it today.
Gregory W. MacDonald: Okay. That's a fair point. And then just final question. Can I assume that there's no assumption for commercial deployment in the guidance that you've given for this year that anything, if there was a commercial deployment announcement this year in fiscal '13, that would be incremental to what you guided?
Bradley S. Shaw: What are you saying with commercial deployment there, Greg, just to be clear?
Gregory W. MacDonald: If you've decided to launch a service commercially. I know that's still a question mark as to whether that would be something we'll see in '13 or not. I might surmise that, that would change the outlook for subscribers or the revenue line depending on what your model would be.
Bradley S. Shaw: No, we haven't build that in at this point. I mean, we continue to make progress in the network and we want to make sure we've got a great network for customers and there are modernization opportunities in the future but certainly not that are planned for the coming year or this year.
Gregory W. MacDonald: And would you advise me not to assume a '13 commercial deployment in any of your markets or is that still question?
Bradley S. Shaw: Yes, good advice.
Operator: Our next question comes from Maher Yaghi with Desjardins.
Maher Yaghi: Second quarter of nice pick up on the loan net additions. Can you maybe tell us what's going down there? Is it the function of picking subscribers from the tour on DFL from your competition or is it the function of maybe customers dropping their cable?
Bradley S. Shaw: Maher, I think the primary driver of that goes back to the questions about business internet ads, we're having great success on business in internet and phone, of course, into the small market. Video is much less relevant in that space.
Maher Yaghi: Okay. And just on the subscriber front on the cable side. Now in general, we're seeing, let's say, a stable decline in subscribers on the cable side. Is there a point where the declines could cause margin depression on the cable front? Are we far from that point where the fixed costs are going to start to become a bit too much to handle or it's just a matter of waiting in the decline on cable and the gains in high-speed Internet and phone, they make up for each other's decline in gains on the margin side?
Bradley S. Shaw: With 2.2 million video customers and 1.9 million Internet customers, we're an awful a long way from having that discussion. In the video side, I think people look at the 16,000 customer loss, it was the same with Rogers. I mean, we're looking at sustainability overall into a larger use, but we're balancing the profitability and we're balancing maintaining that stability. You will see some leakage but the important thing is that if pricing discipline and promotional discipline and cost discipline, our margins have improved by 60 basis points from the second quarter where we generated 60,000 RGUs. This time, we're relatively flat, but our margins are up 600 basis point. So I think we said we were going to focus on operational efficiency and real discipline in terms of pricing and promotions, demonstrating that this quarter there's some leakage, but it's very small number on a very large base.
Maher Yaghi: Okay, great. And then just on the phones, on the digital phone subscriber front. Are you seeing any incremental increases in any wireless substitution on your markets?
Bradley S. Shaw: Yes. I don't think we're really seeing wireless substitution on our market. We certainly have a growing double play market, that's a very strong and profitable market for us -- customers who have TV and Internet and don't subscribe to home phone from anybody. There's a group there, but we wouldn't describe, of course, having as a problem for us on the digital phone side of the business.
Operator: And our last question comes from Blair Abernethy with Stifel Nicolaus.
Blair Abernethy: Just 2 quick things. First, I wonder if you can comment a little bit on the Shaw Go strategy and I know it's only a couple of weeks out there, but any sort of thoughts on the traction with the first 2 apps and where are you going down the road? Are there more apps, ideas in the pipe?
Bradley S. Shaw: Yes, there are ideas in the pipe. I think what we're trying to do is provide apps that are really relevant to our customers and certainly, the tool that we've launched had a great appeal and there's certain sizzle to the NFL Sunday Ticket that we launched last week in Calgary and we had NFL Sunday Ticket customers there. They absolutely loved the app because it has relevance to them, they're clearly football fanatics if they're taking NFL Sunday ticket and the features that were built into that fairly address what makes experience with them one that would add value, if you will, to the NFL's Sunday Ticket Go.
Jay Mehr: Yes, Blair. Really when you look at the Movie Center piece, it really creates value in that ecosystem for that cable, authenticated back that Cable and Satellite customer. We have a schedule here where you'll see us continue to do launches through the year going forward. We believe there's a real appetite in the market for that and it's something that we're committed to creating that value proposition and this is just another example of how we're creating value within the system.
Blair Abernethy: Great. And just, Steve, just quick question for you on the balance sheet. You've got some debt maturity next month and then again, a year from now about $800 million coming up. What are your thoughts on that and can you just remind us your bank lines, I think it's $1 billion. Is that fully available at this point?
Steve Wilson: Yes, it's fully available. We ended the year with $430 billion [ph] of cash and so we're still looking at how we'll handle that maturity. We may draw down a short term bank debt and -- anyway, that's still an open question at this point, but we've got plenty of liquidity and plenty of cash. So lots of flexibly here for us.
Blair Abernethy: Okay. And then to the side of that, I guess, would be a normal course, as to your bid, any thoughts on that at this stage?
Bradley S. Shaw: We'll be issuing a press release on that shortly. Thank you, operator. Thanks, everyone. We'll see you next time.
Operator: Thank you. Ladies and Gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line, and have a great day.